Operator: Good afternoon, and welcome to the fourth fiscal quarter and full year 2024 earnings conference call for Lesley's. At this time, all participants are in a listen-only mode. Following the prepared remarks, management will conduct a question and answer session. If you require any operator assistance during the conference call, please press star zero on your telephone keypad. As a reminder, this conference call is being recorded and will be available for replay later today on the company's website. I will now turn the call over to Matt Skelly, Vice President of Investor Relations. Thank you, and good afternoon.
Matt Skelly: I would like to remind everyone that comments made today may include forward-looking statements which are subject to significant risks and uncertainties that could cause the company's actual results to differ materially from management's current expectations. These statements speak as of today and will not be updated in the future if circumstances change. Please review the cautionary statements and risk factors contained in the company's earnings press release and recent filings with the SEC. During the call today, management will refer to certain non-GAAP financial measures. A reconciliation between GAAP and non-GAAP financial measures can be found in the company's earnings press release, which was furnished to the SEC today and posted to the Investor Relations section of Lesley's website at ir.lesleyspool.com. For this quarter, we have opted not to post an earnings presentation as we continue to refine our materials under our new Chief Executive Officer. On the call today are Jason McDonald, Chief Executive Officer, and Scott Bowman, Chief Financial Officer. With that, I will turn the call over to Jason.
Jason McDonald: Thanks, Matt. And thank you all for joining us this afternoon. I'd like to take this opportunity to share how appreciative I am to serve Lesley's customers, team members, and shareholders as our new CEO. I'm not only a longtime admirer of the sixty-year legacy of the Lesley's brand, but I'm also a longtime customer. I'd like to thank the Lesley's frontline team, our corporate team members, and our board of directors for the warm welcome I've received. Also, to our shareholders, I want to make it clear that shareholder value creation is top of mind as I enter the role. I believe Lesley's has a strong set of near-term and long-term opportunities, and the team and I are very motivated to build on the legacy of Lesley's and ensure that we perform while we transform. Understanding the needs of our customers and our employees who serve them is critically important to me, and I plan on putting the customer at the center of everything we do. Since joining the Lesley's team in September, I've had the pleasure of visiting over forty stores, multiple distribution centers, and regional commercial service centers across more than half a dozen states, including California, Texas, Florida, Arizona, Colorado, and North Carolina. While I am less than eighty days in my role, I captured a lot of learnings in that short period of time. While spending time in the market, I've been really pleased to witness the pride and expertise with which our team members care for the customer. When I step back and put my customer hat on, one thing really resonates with me: we do a lot more than just sell pool supplies.
Jason McDonald: At Lesley's, our purpose is to enable joy through customized pool care solutions. When you're in our stores, you can see and feel the passion of our purpose with our frontline team members. They take pride in serving customers, and I've seen this exemplified with Clara in Texas, Don in Florida, and Scott in Arizona. I saw this firsthand when a customer came into our store and called our general manager by their first name. That relationship mindset, whether it's a residential or, as I call it, a DIY customer, with our best-in-class ACCUPLU water testing technology, helping our local pros with liquid chlorine so they can get on their way, or helping our retail customers with an equipment repair, our employee's commitment to serve is unwavering. Lesley's represents an empowered team that provides trusted care for DIY and pro customers with customized pool and spa care solutions. I've also had the opportunity to connect with many of our vendor partners, and each conversation has deepened my appreciation for this industry. The pool industry has experienced one of the most dynamic five-year periods in its history, which, of course, Lesley's has experienced as well. We believe our industry has been and will remain advantaged for the long term. The installed base of pools and spas at over fourteen million bodies of water with a total addressable market of approximately fifteen billion dollars typically grows one percent to two percent every year. And those pools need to be maintained. As we turn the page to the next chapter of Lesley's history, one observation has been abundantly clear: sharpening our focus on the fundamentals of retailing presents a compelling opportunity, and that's just what we plan to do. So what does that mean? It's about getting back to basics, blocking and tackling, retail one zero one. At Lesley's, we remain the only national large-scale omnichannel player in aftermarket pool and spa care that serves both DIY and pro customers. In addition, we are closest to the pools. In fact, our one thousand plus store network is within twenty miles of eighty percent of the pools in the United States. In the Sunbelt, we're even closer, with almost eighty-eight percent of our pools within ten miles of a Lesley store. Our footprint remains a major competitive advantage that we plan to leverage to deliver more value to our DIY and pro customers through our omnichannel approach. In addition to our proximity advantage, Lesley's has a well-known pool expertise and capabilities that are key to personalized customer care. Our brand strength and NPS scores are strong, driven by our ability to serve the DIY and pro customer quickly and efficiently. So we believe our industry and our company remain advantaged. The next logical question is, how do we leverage those advantages even better going forward? What you can expect from Lesley's is a clear focus on fundamentals and that we plan to leverage our competitive advantages to drive long-term profitable growth. It starts with three strategic themes: customer centricity, convenience, and asset utilization. Each theme has a set of related priorities and defined initiatives intended to deliver sustainable, profitable growth and fuel long-term shareholder value. I will speak to these three themes today and plan to expand on them each quarter in fiscal 2025. The first strategic theme is customer centricity. As I noted, we are putting the customer at the center of everything we do. Since 1963, the Lesley's brand has been synonymous with trust and expert care. While our marketing research still indicates these words are associated with our brand, I believe we can take these to the next level in the future. Continuing to elevate our customer care through POOLX expertise for the DIYer and the pro will make it even more rewarding to shop with us. As we look to the future, we can elevate this experience with a more personalized approach. The customers who choose to take care of their pool know the value of In fact, over eight out of ten DIY customers are members of our loyalty program. That is extremely powerful. We know a lot about them and their pool, including location, size of their pool, whether it is a salt or chlorine pool, equipment preferences, the health of their pool following a water test, even their last purchase of an inflatable for their family. This wealth of information allows us to know our customer more deeply, offer more personalized solutions, and inform us on what winning in service can be. Having had experience in loyalty programs, I believe that we have an ability to elevate our loyalty program even further for both the retail customer and the pro. Our primary goals will be to increase the awareness of the program to attract new loyalty members and enhance its value proposition to the loyalty member and for Lesley's.
Jason McDonald: Lastly, in this customer centricity theme, I believe we can build traffic by increasing awareness around our best-in-class water testing, our differentiated expertise localized for the customer's neighborhood, our product availability, and by customized services leveraging our omnichannel approach. Our second strategic theme is convenience. We believe this theme is core to us winning within the DIY and pro customer. Being closest to the pools with a best-in-class footprint is a key competitive advantage to helping customers with their pool needs. Whether it's a part a pro needs to make their customers' equipment work, specialty chemicals for a DIYer to balance their pool to be clean, safe, and beautiful, or that special pool toy to brighten a child's day, we want to be able to satisfy any pool need quickly. Convenience is such an important aspect of being a trusted total solution provider. Time to solve a customer's problem often determines who wins the sale and who is key to delivering on our customers' expectations. A major element of enabling this is through inventory and store assortment. With a solution orientation, we're reframing availability with a customer-centric and convenience approach in terms of minutes, hours, and days. In our portfolio, some products have customer availability expectations of minutes. They have a need, and time is of the essence. Included as part of that thinking is our new inventory segmentation I like to call Never Oats. For these items, we measure in minutes, and we have to have the best in-stock performance, and we can never be out. To complement this line of thinking, we are evolving Lesley's focus towards localized assortment. There are regional and local differences in the pool market, and we need to have the right inventory in the right place at the right time. It's about being able to get to the place of precision inventory in our local markets. This precision inventory approach will better leverage our existing advantage footprint. It can also speed up reverse logistics, lower inventory adjustment expense, and reduce shrink. To reiterate, this is about convenience as a competitive advantage, and we expect improving inventory management will help accelerate our time to serve. Our third and final strategic theme is asset utilization. The areas of focus in improving asset utilization include our physical assets, our technology and data assets, and our human capital. First, on improving our physical asset utilization, I've already discussed our best-in-class footprint, including our thousand-plus stores. But our physical assets also include our strategic network of distribution centers and commercial service centers. In fiscal 2025, we expect to add approximately three stores to our footprint. That said, the majority of our attention will be getting more out of our combination of assets to drive higher organic sales. Expanding average sales per store will drive comp growth, feeling positive leverage through the P&L. Internally, the company has made significant investments over the past couple of years to enhance our technical capabilities, such as adding the Blue Yonder tool, and I believe we can do more to maximize the value that these strategic investments can bring to our processes and our operations. We will plan to also prioritize incremental investments that enhance our ability to serve the customer as we pursue our strategic objectives in the coming year. Finally, in the area of human capital, we believe we can use our national scale and local community presence to make a stronger positive impact in the communities we serve. As the industry's market leader, Lesley's workforce is dedicated to making human capital a positive differentiator through the expertise we provide our pool and spa customers and the care they entrust in us to keep their pool clean, safe, and beautiful. These three strategic themes—customer centricity, convenience, and asset utilization—will be supported by empowering our teams to drive a continuous improvement culture.
Jason McDonald: At Lesley's, we will focus on the customer and the fundamentals and prioritize what helps achieve our objectives and deprioritize what does not. Turning to our results for the fourth quarter and for fiscal 2024, sales for the fiscal fourth quarter were $398 million, down 8%, which was in line with our revised guidance from July. Sales for fiscal 2024 were $1.33 billion, down 8%, also in line with our expectations. Adjusted earnings per share were $0.02 for the fourth quarter and a loss of $0.01 for the year. Adjusted EBITDA in the fourth quarter was $43 million and was $109 million for the full year. Consistent with our primary capital allocation priority of reducing debt, we expect to pay down approximately $25 million of our debt balance during the current quarter. Scott will detail further our financial performance for the fourth quarter and full year during his prepared remarks. During the first seven weeks of the fiscal year, trends were in line with our expectations. We had some positive demand activity from post-storm cleanup in Florida and throughout the southeast. However, as I mentioned earlier, the macro environment continues to be dynamic, and we're in the process of orienting our business around our three key strategic themes and related initiatives. Given these factors, at this time, we're only providing financial guidance for the first quarter of 2025, which includes top-line sales expected in a range of down 3% to up 1% year over year. We continue to form our thoughts on the year ahead and expect to update the market with some of that thinking on our next earnings call. I'll now turn it over to Scott to give his remarks.
Scott Bowman: Thank you, Jason, and good afternoon, everyone. I would like to remind everyone that my comments on our quarterly and annual performance are on a year-over-year basis unless otherwise indicated. On a top line, we finished fiscal fourth quarter and year in line with our revised guidance we communicated in July.
Scott Bowman: Our profitability was mainly impacted by items that we expect to be one-time in nature, which I will address in my prepared remarks. I will also provide commentary on how we see the start to the year, including our first quarter fiscal 2025 guidance. But first, I'll take you through our fourth quarter and annual performance for fiscal 2024. For the fiscal fourth quarter, we reported total sales of $398 million, a decrease of 8%, driven primarily by continued softness in traffic and larger ticket and discretionary product. Comparable sales decreased 8.3%, and non-comparable sales contributed $1.5 million in the quarter. With respect to sales trends by consumer group, residential pool declined 10%, pro pool declined 1%, and residential hot tub declined 5%. We were encouraged to see relative strength in our Pro Pool consumer group, which outperformed with the low single-digit sales decline through the second half of the fiscal year, which is our peak pool season. That compares to a total company sales decline of just over 7% during the same period. This consumer group has proven to be resilient during a very dynamic season, and we see more opportunity for this group going forward. Gross profit was $143 million compared to $160 million in the same period last year, and gross margin rate decreased 105 basis points to 36%. The decline in rate was largely due to 77 basis points of deleverage on occupancy expense and, to a lesser extent, deleverage on DC costs. Additionally, we had a one-time item of approximately $5 million in the quarter related to rebates and warranties on a vendor contract. This contract has since been revised to eliminate this issue for 2025 going forward. Excluding this one-time item, gross margin would have been 37.3%, an increase of 20 basis points versus the prior year. SG&A was $117 million for the quarter, a decline of 4% or $5 million, and represented 29% of sales. We continue to make solid progress on our cost management initiatives, which we expect to help fuel our operating leverage. Fourth quarter adjusted EBITDA was $43 million compared to $59 million in the same period last year. It was primarily impacted by softer sales and a one-time gross margin item, partially offset by lower SG&A expense. Interest expense was $17 million in the quarter, approximately flat compared to the same period last year. Adjusted net income was $4 million compared to $26 million in the same period last year, and adjusted diluted earnings per share was $0.02 compared to $0.14 in the same period last year. Diluted weighted average shares outstanding were 185 million. Now turning to our fiscal full-year results. For fiscal 2024, total sales were $1.33 billion, a decrease of 8% compared to the prior year, with comparable sales down 8.8%. Non-comparable sales totaled $8 million for the year. As mentioned earlier, our total sales were in line with our revised guidance communicated in our July release. With respect to trends by consumer group, sales for residential pool declined 9%, pro pool declined 4%, and residential hot tub declined 9%. While we experienced another year of softness in our core residential category, we were encouraged by sequential improvement in our pro pool and hot tub consumer groups. We expect further improvement across our consumer groups in fiscal 2025 as industry conditions continue to normalize, though as Jason noted, the macroeconomic environment remains dynamic. Gross profit was $477 million compared to $548 million in 2023, and gross margin rate decreased 193 basis points to 35.9%. The year-over-year decline was primarily due to headwinds from June 2023 chemical price actions, expensing of previously capitalized DC costs, and deleverage on occupancy cost. These were partially offset by favorability in inventory adjustments and DC costs. Full-year SG&A was $420 million, down $26 million from a year ago, and represented 31.6% of sales. We continue to look for further opportunities to optimize our cost structure as we focus on increasing asset utilization across the company. Fiscal 2024 adjusted EBITDA was $109 million compared to $168 million in the prior year, and adjusted net income was a loss of $1 million compared to income of $51 million in the prior year. Adjusted EBITDA was impacted primarily by lower sales, partially offset by favorability in SG&A expense. Interest expense was $70 million for fiscal 2024, an increase of $5 million compared to the prior year, which was primarily due to higher interest rates. Adjusted diluted earnings per share was a loss of $0.01 in fiscal 2024 compared to income of $0.28 in the same period last year. Diluted weighted average shares outstanding were 185 million. Related to income tax expense, we established a valuation allowance of approximately $11 million in the quarter in order to provide an offset to our deferred tax assets. This balance is subject to change as the realization of future deferred tax assets changes over time. Moving to the balance sheet, we ended fiscal 2024 with $109 million in cash compared to $55 million in fiscal 2023. The increase was primarily due to significant efforts by the team to reduce inventory through improved analytics and operational efficiencies. Inventory ended the year at $234 million, a decrease of $78 million or 25% compared to the prior year, even as our in-stock position, service metrics, and net promoter scores all remain very strong. At the end of fiscal 2024, we had $784 million outstanding on our secured term loan and no amount outstanding on our revolving credit facility. This compares to $790 million on our term loan and a zero balance on our revolver at the end of fiscal 2023. Overall, our debt levels were $6 million lower than a year ago. The effective interest rate on our term loan was 8.1% for fiscal 2024 compared to 8.2% the prior year. With that, I'd like to turn to our first quarter fiscal 2025 outlook. Considering our recent CEO transition, we are providing our outlook for only the first quarter of fiscal 2025 at this time. Our first quarter outlook reflects expectations for continued softness in larger ticket and discretionary categories and a balanced view of year-to-date company performance in the current macroeconomic environment. As Jason outlined earlier, we believe we have a great opportunity to improve how we serve the customer, leveraging our themes of customer centricity, convenience, and asset utilization. We expect these strategic themes and resulting initiatives to help drive sales and market share growth. All combined, we are working to maximize free cash flow generation to serve our number one capital allocation priority, the reduction of debt and corresponding leverage levels. While we won't see these initiatives contribute meaningfully to our first quarter results, we expect them to begin contributing to our performance later in fiscal 2025. For the first quarter of fiscal 2025, we expect the following: sales of $169 million to $176 million, adjusted EBITDA of negative $29 million to negative $27 million, adjusted net loss of $39 million to $37 million, adjusted diluted EPS of a loss of $0.21 to $0.20, and target debt pay down of $25 million in the quarter. After the first seven weeks of the year, we are trending broadly in line with our expectations and slightly above when accounting for hurricane-related demand incurred during this time period. We are seeing strong results in our pro and e-commerce channels, with other channels showing sequential improvement from the fourth quarter. Although we are very early in the fiscal year, these are encouraging signs as we continue to position ourselves to win pool season in 2025 and to generate long-term sustainable growth. I would like to remind everyone that the first two quarters of our fiscal year are historically smaller in volume and thus have an inherently higher degree of operating leverage embedded within them. From a balance sheet perspective, we continue to improve our cash position in order to enhance liquidity and pay down debt. With $109 million in cash to start the fiscal year, we believe we have the ability to pay down debt and execute on our strategic priorities. We expect the magnitude and timing of future debt reduction to be influenced by the need to build inventory in the first half of the year and the amount of excess cash generated in the back half of the year during pool season. Moving to capital allocation, we plan to pay down debt by $25 million in the current quarter, with further guidance on pay down to be communicated during our February call. As a result, we expect to limit new store openings and M&A activity to focus on our debt paydown priority. I will now turn it back over to Jason for closing remarks.
Jason McDonald: As we move forward in fiscal 2025, I believe there is strong value creation potential for Lesley's and all of our stakeholders. We believe we have what every successful retailer needs to win with the customer. We believe Lesley's is in an advantaged industry, has key competitive advantages, differentiated omnichannel solutions, and a great team to serve our DIY and pro customers. Our three strategic themes of customer centricity, convenience, and asset utilization will drive our key initiatives and be fueled by the pride of our employees. We believe that their pursuit of excellence in execution provides a value proposition that our customers are going to embrace. As we let the Lesley's pride shine through, we are going to ensure we have a clear focus on the fundamentals. Over the coming weeks and months, I look forward to continuing my conversation with our stakeholders to frame our opportunity set, solicit their valuable feedback, and then go and win with our team. I will now turn it back over to the operator for Q&A. Please proceed.
Operator: Thank you. We'll now be conducting a question and answer session. If you would like to ask a question, please press star one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star two if you'd like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment please while we poll for questions. Thank you. Our first question is from Kate McShane, Goldman Sachs. Please proceed with your question.
Kate McShane: Hi. Good afternoon. Thanks for taking our question. Jason, I wanted to ask a little bit more about the strategic focus for Lesley's. Just which one of those strategic themes do you think will make the largest impact in the near to medium term?
Jason McDonald: Well, thanks, Kate. Thanks for the question. Firstly, when I look at the strategic themes, for me, what I love about those themes is that they are chief themes that are developed by the team members. It's a result of listening and learning through the early days that I've been CEO here at Lesley's. And helps shape our go-forward plan. The other piece is it focuses on the comp sales side of the growth and also making sure that we have focus on driving improving efficiency to drive leverage through the P&L. On your question specifically around impact, having that as a backdrop, asset utilization is the one area and the one theme that I think does the best job of that because it helps focus on optimization, but it also helps in regards to how we improve same-store sales. So, you know, early on and when looking at Lesley's prior to starting and then often when I came in and spending time looking at the stores and DCs, I identified that this is an area with the team that we should have as a critical focus. So as I broke that out between physical assets, technology and data assets, and then, obviously, people and human capital. I think there's an opportunity here for Lesley's. Our proximity advantage, sorry. Our proximity of assets really demonstrates that we are structurally advantaged at Lesley's. And with that, with combination with our supply chain in our DCs as well as our customer service centers, and where our proximity of stores are is one thing that we can really leverage. And I think that that's an area of focus that I want to make sure we as a company have to make sure that we're delivering our customer needs going forward. Another piece of the physical assets is inventory. You know, I'm pleased with how the team has reduced inventory in 2024. That said, I think from visiting stores, etcetera, and DCs, I think there's also an opportunity to drive some optimization. Optimization meaning further reduction over time but also this concept of precision inventory, which I mentioned in my opening remarks. The precision inventory for us is about how do we make sure we have the right product at the right place at the right time. And not every part of the country is equal in terms of our assortment that needs to be there. On the tech side, we have a tool that's going to help us with that. We have an inventory management tool that enables us to really bring precision there. And really drive the precision around the depth and the breadth of the inventory that we have. So in that combination, I think we have opportunities both in breadth and also depth. And I want to make sure we have the right depth and things, as I mentioned, around Never Out, the most important SKUs for our company. Another piece on the tech side for asset utilization is one item around first-party data. We have a lot of information regarding our customers and how they, you know, a lot about their pool and how they operate and what their day-to-day operations of their pool are and how we can best serve them. Use an opportunity for us to even get more personalized. And we have that personalized ability through our water test where people come in and get their water tested. And we can provide that level of technology and trust for them. So feel great about that. I got to see this firsthand in California. And when I was standing there, I saw a customer come in, and the GM leaned over to me and said, I know this lady comes in every week. And I said, really? Every week? She said, yes. She just wants to see what her score was. She was excited when she got over an eighty percent on her score. And I asked her, I said, so you come in every week? She goes, yes. I just love the ladies here. That showed me a real key area around the other part of leveraging our assets, which is literally our human capital. And our people in the frontline are great. They have a real opportunity to share their expertise and build confidence. So in a nutshell, I think it's asset utilization to answer your question, and I firmly believe it's the balance of really a clear focus here for comp sales growth and then driving efficiency to drive levers to the P&L, and then, as Scott mentioned, continuously pay down the debt.
Kate McShane: Thank you. And I just wonder if I could follow-up with a second question. Just wondered if you could talk a little bit more as to why you're seeing the relative strength in the pro business versus the rest of the business and what you think is driving that.
Scott Bowman: Yeah. I'll take that one, Kate. Thanks for the question. A couple good things going on in the pro business. You know, under Dave Casper's leadership, he's really engaged the team to drive sales and knowing what's important to the pro. Right? And so we've done, you know, several, you know, flash sales that we've done in the past, and we've kind of reinvigorated those. And I've seen really good response. And so it's really more targeted, you know, kind of promotional activity around more of kind of an event or flash sale. Has played out well. We continue to add more pro partners. You know? So we have forty-four hundred pro partners today. It's about fourteen percent higher than last year. And so, you know, those pro partners spend in excess of ten thousand dollars a year at Lesley's. So another positive. And then just, you know, really dialing into pricing. And all of the key SKUs to understand, you know, where the market is and where we need our pricing to be the most competitive. So that's paid big dividends because as you probably know, the pros are very price sensitive. They want to shop at Lesley's, but we have to be competitively priced. And so that's another area where I think we're doing better and getting more refined data. It's paying off with our pros.
Kate McShane: Thank you.
Operator: Thank you. Our next question is from Simeon Gutman with Morgan Stanley. Please proceed with your question.
Simeon Gutman: Hi. Thank you so much for taking our question. I guess the first question is just on comps of negative 8.3% for the quarter. Just curious if you can break this out between ticket and traffic. Was this driven on one more so over the other? Thank you.
Scott Bowman: It was driven more by traffic. So very similar to what we've seen in recent quarters. You know, traffic has been the main driver of our comps. And, you know, so as Jason talks about, you know, some of the initiatives, it's really laser-focused on driving that top line and really leveraging our competitive advantages in our stores and in other channels. And so that's one of our main focuses right now to drive traffic.
Simeon Gutman: Okay. Great. That's helpful. And I guess our follow-up is just on the unit growth. So your current focus is to, you know, focus on the current assets you have, and you talked about opening three stores for fiscal 2025. Can you talk about how this maybe changes your long-term unit growth outlook of the 2% to 3%? Is that still something we can get to in the medium term? Thank you.
Scott Bowman: I think so. I think at some point, our near-term priority is to pay down debt. And, you know, so we generated a lot of cash last year and ended the year with about $108 million on the balance sheet. Puts us in a good position to start executing that pay down on debt. And that will remain our key priority for the near term from a capital allocation standpoint. As we think about future growth, you know, whether it be a buy or build situation, there's still plenty of opportunities out there. And so when we get to a point where we're comfortable with, you know, adequate pay down of the debt, you know, we will start, you know, engaging on new store builds in a bigger way and more M&A activity. But that being said, the other reason is just we want to focus on the core. Right? We want to really focus in on our initiatives, improve the core profitability and top line. And then after we get some traction with that, we'll be in a better position to reengage on growth.
Jason McDonald: And just to build on that, I think the biggest piece of us from a focus standpoint on growth, and I'm glad you asked that question, is because it is a crystal area of focus for us in terms of baseline growth and really, it has to do with going deep with the customer. We believe that we have some really strong competitive advantages in the marketplace around proximity, obviously, the quality of the product portfolio, the expertise that we have in our stores, you know, the water testing in the technology that we have, and an omnichannel approach. That we need to continue to work to bring more awareness to. And that can help us drive some traffic. In addition to that, when we are driving that level of awareness, and people are visiting Lesley's, is to then continue to bolster our loyalty program. We have a strong level of personalized data today that gives us information about our customer, but I think we have the opportunity to even go further with that. Both of those are going to allow us to build plans to drive long-term sustainable growth at Lesley's.
Simeon Gutman: Great. Thank you.
Operator: Thank you. Our next question is from Ryan Merkel with William Blair. Please proceed with your question.
Ryan Merkel: Great. Thanks for taking the questions. I wanted to start off on gross margins, which have been, you know, sort of a disappointment and were again this quarter. So what are some of the strategies you're thinking about to improve gross margins? And are you thinking you need to have more cost takeout from here, or is your focus on more, you know, improving the top line?
Scott Bowman: Yeah. Good question, Ryan. You know, I think first off, I think it's more top-line focus. Okay? And so this past quarter, we had a little bit of higher, you know, inventory and scrap, you know, entries. You know, some of that was, you know, kind of weighted towards the back half of the year, and so we'll always have that, you know, probably a little bit of room to reduce that. But by and large, I mean, I think we control our DC expenses pretty well. And it's all about driving that top line so we can get leverage. Right? So our deleverage on occupancy alone was, you know, almost eighty basis points last quarter. We had, you know, more deleverage on DC costs as well. And so as we look at it, we'll continue to refine kind of the DC operations and, you know, inventory adjustments and so forth. So some marginal improvements there to be had. But it's really about driving top line so we can leverage those fixed costs. And so it really comes back to, you know, what Jason's talking about and, you know, kind of those key initiatives that we see that we can start to engage on, you know, to drive the top line in pro and other categories.
Ryan Merkel: Okay. That's helpful. And then a question on inventory. Do you feel like you're right-sized here, or do you have to cut more? And, you know, I think you mentioned, you know, the localized assortments and the inventory. So just how do we, you know, balance all those things?
Scott Bowman: Yeah. Good question. We, as we look at it, there's still some room to take out inventory, you know, not nearly as much as we saw this past year. But as Jason has, you know, walked a lot of stores and distribution centers and commercial centers, there's a lot of inventory out there that is kind of stuck. Right? And so from an allocation standpoint, there's a pretty nice opportunity to consolidate some of that inventory, get it back to our warehouses, and really just, you know, tighten up our allocation strategy, especially on the high-ticket items. So that initiative will help us free up dollars to put more dollars into, you know, those specific items, those narrow routes that are so important, you know, to our customers and our pros.
Jason McDonald: I think the big word I used in discussing this with the team and as we're proceeding is this word, like, as you mentioned, precision. And it is about making, you know, we have the benefit of having stores so close to all the pools across America that we can build an efficient assortment because we can be very tailored to the pools in those neighborhoods. And I think that that's a significant opportunity for us. And then at the same time, we leverage some of the technology we've had and we have and further utilize it even better to then really manage the breadth and the depth of what we're talking about from an inventory standpoint, so we can do the level of utilization and almost inefficiency that we need for inventory, which is what Scott mentioned.
Ryan Merkel: Alright. Thanks. I'll pass it on.
Operator: Thank you. Our next question is from Jonathan Matuszewski. Please proceed with your question.
Jonathan Matuszewski: Great. Good afternoon. Hi, Jason. Nice Scott. Thanks for taking my question. The first one was just on 2025. You know, without formal guidance for the year, maybe you could just share some high-level qualitative views in terms of some of the underlying trends that you expect, maybe just some any nuances in terms of you're thinking about chemical demand versus equipment, or, you know, AOB versus traffic. I know this past year, it was a big theme between discretionary versus non-discretionary. So any, you know, high-level views would be helpful. Thanks.
Scott Bowman: Yeah. Sure. Yeah. So a lot there. You know, I think for us, from an equipment standpoint, you know, still down fifteen percent or so. We are seeing, you know, some bright spots in that category. And, you know, some of the promotions that we've run targeting equipment, free installs, and things like that have resonated quite well. And so I think there's some learnings that we've taken, you know, from the last quarter that we can further deploy, you know, this year, you know, to try to boost that business. But, you know, at the end of the day, a lot of it is going to come down to, you know, consumer behavior and, you know, just how willing they are to spend, you know, those dollars on the more discretionary items. That being said, we have made some improvements in our hot tub business. So we were down five for the quarter, down nine for the year. And, you know, that is really a function of the team really engaging, you know, more with the leads that we generate and having better tools, you know, to execute against those leads. And then being more creative, you know, having, you know, more hot tub events at Costco and other areas, it's really paid big dividends for us. And so part of it is on us, you know, just to really spur that demand, you know, with the kind of targeted events and promos. And part of it is, you know, external. But, you know, the way that we think about it is, you know, how can we improve what we do to make sure that our pricing is right, make sure the awareness is there, make sure that marketing is targeted, you know, to draw those customers in. And then just leverage our competitive advantages. You know, we have so many advantages. We think there's still more to do there to take full advantage.
Jonathan Matuszewski: That's really helpful. Thank you. And then just my follow-up question was on e-commerce. I think it's annualizing around your or in excess of twenty percent of total sales. So just wanted to understand the opportunity there. I think, historically, Lesley's has been a large chunk of Amazon pool and spa care business. So, you know, where does that business stand today, and is there incremental growth there? Thanks.
Scott Bowman: Yeah. You know, so it's kind of two sides of the business, really. You know, our marketplace business and, you know, somewhat our in the swim business is, you know, much more, you know, kind of price sensitive and, you know, especially Amazon, you know, to get that buy box, you gotta have your pricing sharp. And so that's a piece of it, you know, that we continue to get better with. And the other part is just making sure the availability is there, and, you know, that we're hitting all the targets to make sure that we're on prime. So it's really just making sure, you know, we have the right products there and we're competitively priced, and we make adjustments, you know, almost on a daily basis. For the Leslie's proprietary site, a little bit different story. I mean, Leslie's proprietary site was actually positive in the quarter. And, you know, certainly, there's some synergies there, you know, and tie-ins, you know, to our store with that site. You know, we can offer, you know, promos on equipment, offer free installs, you know, on that site, and it gives us a big advantage. And so there's some threads there that we're going to continue to work on that can leverage, you know, that site probably more than the other two.
Jason McDonald: And just to build on that, what you're sensing here is that the opportunity for us is really about taking an omnichannel approach going forward as well. And, sort of looking at the digital side, which is not only the e-commerce site, but it's also the effectiveness of our mobile app. How do we connect both the digital way of doing business with our brick and mortar, and finding the best ways to serve our customers by making sure that we meet them where they are. And that's one of the pieces that we're very focused on is how do we leverage some of the successes that we've had around e-commerce. So as Scott just mentioned on some of those but do so in an integrated way to best serve the customer's needs. And it's really about us spending a lot of time going deep on each of the customer journeys candidly for growth, DIY, and for pro, and meeting them and providing them with the solutions that they want going forward.
Jonathan Matuszewski: Thanks for that. That's a lot.
Operator: Thank you. Our next question is from Stephen Forbes with Guggenheim Securities. Please proceed with your question.
Renee Marin: Good evening. This is Renee Marin on for Steve Forbes. Jason, Scott, can you just expand on the five million contractual gross margin headwind? I guess, was it volume related? And then as you think about your sourcing agreements across all product categories, are there any other risks we should be aware of as we've reframe the outlook for gross margin profile?
Scott Bowman: Yeah. First off, we don't really see any additional risks. So as far as kind of the vendor contract language, what happened there is late in the year, we renegotiated one of our supplier contracts. And what it involved was taking on, you know, some responsibility for warranties in exchange for a higher volume-based rebate. And so in doing that, you know, we had a fixed rebate, you know, that we had had over the years that was actually, you know, taken out of that contract as well. And so there's kind of a total recast of that agreement. What we saw was that the warranty costs were escalating and, you know, much higher than, you know, what we thought they would be. And so we quickly, you know, renegotiated with, you know, that vendor and talked through, you know, scenarios that could work for both of us and ultimately came up to an agreement that no longer had us liable for those warranties as of the first day of this fiscal year. Okay? And so I think it was an anomaly where, you know, we saw those escalating warranty costs, we reacted with the vendor pretty quickly, and got a new contract in place, and so that won't be an issue going forward.
Renee Marin: Got it. And then as a follow-up, can you break down or provide any additional color on the 1Q gross margin pressures as implied by the guidance into various factors?
Scott Bowman: Yeah. Sure. You know, first off, based on the old contract with that supplier I just talked about, we did have some fixed rebates that hit in the first quarter. And that will cause about seventy-five basis points of pressure there. You know, without that, our kind of our product margin will actually be slightly favorable, which is a function of, you know, some lower cost. We also, you know, will see a little bit higher cost in some DC cost and some inventory adjustments, and that's really a function of doing, you know, things like cycle counts on a more regular basis instead of, you know, kind of waiting till a physical inventory. And we've done that in the past, but based on some of the adjustments we saw in the fourth quarter, you know, tells us that we need to do more cycle counts on a regular basis and kind of spread out, you know, the cost of those inventory adjustments and keep track of it. And other than that, the main drag is occupancy. You know? So occupancy will be about a hundred basis points of drag in the quarter.
Renee Marin: Got it. Thank you.
Operator: Thank you. Our next question is from David Bellinger with Mizuho Securities. Please proceed with your question.
David Bellinger: Hey, guys. Thanks for the time here. Appreciate all the prepared remarks from Jason. Our question, just on some of the internal initiatives you guys laid out and maybe some of the, you know, retail fundamentals, maybe not where they should be at this point. Could you talk about any potential reinvestment that's needed? I know you talked about building awareness. Is there a certain level of, you know, dollars that have to go back in to get awareness where it should be and get Lesley's back to being top of the mind for the consumer? And then anything about wages too. Should we expect some kind of increase in wages to get that, you know, that asset leverage out of the store base that you're talking about?
Jason McDonald: Thanks for the question. I think firstly, we're at the early stages of the development. The team is going through, you know, as I mentioned, the collaboratively around the focus of the clear priorities around those three initiatives, and then they're building the plan around the specifics around those initiatives, and I'll be able to discuss that more from quarter to quarter as we go throughout the year, and I'll make sure to do that. Maybe the answer to the second part of your question regarding maybe just investments in the spirit of delivering and driving traffic. For me, it's not determined yet in terms of additional funding that's required. I sort of look at two things when thinking about driving critical traffic for Lesley's going forward. You know, the first is I want to make sure that we look at, I guess, maybe the art and the science of that being an answer. The art being what's the key messaging and the communication that we need to do to our customers so that it should persuade them to obviously come to Lesley's and drive traffic. So I think the foundation of the competitive advantages we have around, obviously, being proximity around being in their local neighborhoods to our, sorry, to our the water testing capability we have, the expertise we have in stores. These are all things that we can then communicate to our customers and make sure we do so. The science part of this, and that would be the art, the science to me is I've spent a lot of time in my career as early as maybe 2006 on marketing mix modeling. And when looking at marketing mix modeling, it doesn't necessarily build awareness. You need to just add marketing spending. You can reallocate your current marketing spending to areas that drive efficiency and drive the best performance based off of good modeling and leveraging data and analytics to then see what kind of best return we can get from the investments we make and choose the mediums appropriately. So I plan on doing both with the team. Is to finding the best message and obviously the best in supporting our initiatives around that, but then doing so the right way with a prudent approach on how do I leverage the consistent, the spend we have today and do it as most efficient as possible?
David Bellinger: Great. Thanks for that. And then just my second question. Looks like you're essentially pausing new store growth, likely pausing some of the tuck-in M&A activity. Should we think about 2025 as the vast majority of free cash flow going to debt paydowns? Is there any way to frame up just how much that could be in addition to the $25 million you mentioned in Q1?
Scott Bowman: Yes. Good question. It's hard to frame up the exact dollar amount for the remainder of the year, but I think the point here and the message here is that, you know, we are committed, you know, to that priority. It'll remain our number one priority to pay down debt, you know, for the foreseeable future. Store growth and M&A is important to us. And, you know, long term, you know, plays a big role in our growth. And so in the meantime, we'll continue to build the pipeline and to fine-tune where those next stores will be. We already have a pretty robust pipeline of M&A targets, and we'll continue to build on that. And so when we're ready to reengage, we can shorten the time window that that's going to take.
David Bellinger: Appreciate all the details. Thank you.
Operator: Thank you. Our next question is from Justin Kleber with Baird. Please proceed with your question.
Justin Kleber: Hey, good afternoon, guys. Thanks for taking the questions. First one was just on, I wanted to ask about chemical AUR trends. We noticed you've been highlighting a new low price on shock. Curious if that's you being proactive in passing through lower product costs or are you following others in the industry that are taking price lower? And then just how do we think about any sales or margin impact from this change compared to some of the broader chemical price reductions you took in June of 2023.
Scott Bowman: Sure. Yeah. So first off, it's not, you know, near the magnitude and really not comparable to June 2023. What I would say is we're being kind of targeted on pricing, and it's particularly in the pro area. I mentioned earlier that, you know, we need to be more competitive on pro pricing, and we're doing that. And it is showing some good top-line results. And so that's where we're kind of placing our chips right now. It's in the pro area. In the kind of the residential customer, pricing's pretty stable. And so we haven't really had to move too much at the retail, you know, customer level. In order to fund, you know, kind of lower pricing on pro, we have had some better pricing come through on our key chemicals, and so that is basically covering most, if not all, of that reduced price.
Justin Kleber: Got it. Great. Thanks for that color, Scott. And then just a follow-up to David's question regarding investments. Can you just talk conceptually about the SG&A line? Certain states that you operate in continue to raise minimum wages. So I guess the question is, can you continue to reduce SG&A dollars on a year-over-year basis like you did this past year while simultaneously making these investments, you know, that are needed to turn the traffic in the top line?
Scott Bowman: Yeah. Good question. Yeah. I think it's more difficult for sure because we have made, you know, some pretty significant reductions in SG&A. We want to be thoughtful about that. Right? We want to make sure that we have the structure to support the business and the growth of the business. And so, really, our mentality on SG&A is that we will continue to invest in that area. But we want to follow the growth. Right? And so we want to start to see the growth first, and then we'll follow with the SG&A, you know, growth behind that. I think one thing to keep in mind, you know, as we move forward here, you know, the incentive compensation has been, you know, quite low, you know, in the last, you know, two years. And so I think one thing to think about when things do pick up a little bit, that incentive compensation will, you know, will move higher, you know, as that happens. But all the other areas in SG&A, I think we have a really good handle on, and we have good control over. And we're very mindful of spending additional SG&A, and we'll do that, you know, to take care of our teams and to make sure we're funding the growth.
Justin Kleber: I appreciate the color. And best of luck.
Operator: Thank you. That's all the time we have for Q&A today. Thank you for joining the call. You may now disconnect.